Operator: Good afternoon. My name is Vicki and I will be your conference operator today. At this time, I would like to welcome everyone to the Karyopharm Therapeutics Third Quarter 2016 Financial Results Conference Call. There will be a question-and-answer session to follow. Please be advised that this call is being recorded at the company's request. I would now like to turn the call over to Mr. Justin Renz, Executive Vice President, Chief Financial Officer and Treasurer of Karyopharm Therapeutics.
Justin Renz: Thank you, good evening and welcome to the third quarter 2016 earnings call. This is Justin Renz and I'm joined today by Dr. Michael Kauffman, Chief Executive Officer; Dr. Sharon Shacham, our Founder, President and Chief Scientific Officer; and Chris Primiano, our Senior Vice President of Corporate Development, General Counsel and Secretary. On the call today, Michael will make some introductory comments, Sharon will provide a short update on the clinical development programs and plans and I'll provide an overview of the third quarter financial results. Michael will then provide some summary remarks and we'll open the call up to your questions for which Chris will also be available. Earlier this afternoon, we issued a press release detailing Karyopharm's results for the third quarter 2016. This release is available on our website at karyopharm.com. Before we begin our formal comments, I will remind you that various remarks we will make today constitute forward-looking statements for purposes of the safe harbor provisions under Private Securities Litigation Reform Act of 1995. These include statements about our future expectations, clinical developments and regulatory timelines, the potential success of our product candidates, financial projections and our plans and prospects. Actual results may differ materially from those indicated by these forward-looking statements as a result of various important factors, including those discussed in the risk factors section of our most recent filed report on Form 10-Q for the third quarter of 2016 which is on file with the SEC and any other filings we may make with the SEC. Any forward-looking statements represent our views as of today only and should not be relied upon as representing our views as of any subsequent date. While we may elect to update these forward-looking statements at some point in the future. We specifically disclaim any obligation to do so, even if our views change. Therefore, you should not rely on these forward-looking statements as representing our views as of any date subsequent to today. I will now turn the call over to Dr. Michael Kauffman, Chief Executive Officer of Karyopharm.
Michael Kauffman: Thank you, Justin and good morning everyone. Thank you for joining us on our call today. We to continue to make good progress on our efforts to advance oral selinexor, during the third quarter we communicated our planned development and regulatory path toward U.S. Food and Drug Administration, or FDA and European Medicines Agency, or EMA filings for selinexor as a treatment for patients with multiple myeloma. This plan is based on the positive responses from the FDA regarding the design of the Phase 3 BOSTON study and supported by data emerging from both STORM and STOMP studies where selinexor is demonstrating robust and durable responses in patients with heavily pretreated multiple myeloma. Both of these studies were selected for oral presentations of the upcoming American Society of Hematology or ASH 2016 Annual Meeting, while we look forward to presenting even more mature and detail datasets in our early December. Sharon will provide more color on our ASH plans in which a total of 21 abstracts including nine oral presentations have been selected. In addition to key data presentations with updated data from STORM and STOMP. We would also like to highlight a few of the other presentations including, one, results from a Phase 1 study sponsored by the multiple myeloma research consortium that is evaluating selinexor in combination with Carfilzomib and dexamethasone in patients with relapsed/refractory myeloma. Two, results from a Phase 1 study evaluating selinexor in combination with Pomalidomide and low-dose dexamethasone in patients with relapsed/refractory myeloma. Three, updated data from the Phase 2 sales study evaluating selinexor in combination with Ara-C and idarubicin in patients with relapsed/refractory acute myeloid leukemia. Four, results from a clinical trial evaluating selinexor in combination with high-dose cytarabine and mitoxantrone in patients with AML. And five, preliminary results from a Phase 1 study evaluating KPT-8602, our second-generation SINE compound in patients with multiple myeloma. One another ASH item I’d like to mention, we are hosting an analyst and investor dinner reception on site in San Diego on Monday night December 5, 8:00 p.m. PT. We will be providing an overview of the updated results from the STORM and STOMP study in multiple myeloma and several well regarded thought leaders in the treatment of myeloma will be participating in an interactive panel discussions and Q&A session. The panel will highlight the growing population of myeloma patients and the landscape including the increasing use of oral therapies along with the increasing population of myeloma patients whose disease has progressed despite all available therapies. There will be a live webcast of the event which begin in 8:15 Pacific Time. So even if you aren’t attending ASH in person you can still tune in via the web. We will certainly help you can attend or join us in the webcast, this should be a very informative session. With that, I’d now like to turn the call over to Sharon to discuss the trials in more detail as well as provide us an overview of key presentations that occurred during the quarter. Sharon?
Sharon Shacham: Thank you, Michael. Starting with selinexor in multiple myeloma, as Michael mentioned we are scheduled to present updated clinical data from the ongoing Phase 2b STORM study at ASH in early December. Lead STORM investigator Dr. Dan Vogl of the Perelman School of Medicine at the University of Pennsylvania will given all presentations highlighting clinical data demonstrating that selinexor in combination with low-dose dexamethasone, achieved robust response rates in patient with quad-refractory and penta-refractory myeloma. As a reminder, all patients in the study had multiple prior regimens including glucocorticoids and prior alkylating agent therapies and had myeloma that was refractory to the most recent therapy. Patient with quad-refractory disease defined as dose was documented prior treatments including two proteasome inhibitors bortezomib, carfilzomib and two immunomodulatory agent lenalidomide and pomalidomide. And documentation is available showing that the disease is refractory to at least one PI and at least one IMiD. Patient with penta-refractory myeloma have quad-refractory disease that is also a refractory to an anti-CD38 monoclonal antibody such as daratumumab or isatuximab. The STORM study is a Phase 2 single-arm study that was carried out at 19 sites and enrolled 70 patients over the course of 11 months consistent with the high unmet medical need for this myeloma population. The primary endpoint with overall response rate and all responses were adjudicated by an Independent Review Committee. As expected patient in this initial cohort in STORM were very heavily pretreated, having received in medium of seven prior treatment regimens. In addition, they had difficult to treat myeloma based on a short medium time since the notice of only 4.7 years. Among the 78 valuable patients the overall response rate was 21% including both very good partial responses and partial responses. Most of the patients with quad-refractory disease who received twice weekly selinexor for 3 or 4/4 weeks. Among all the 48 patient in this quad-refractory group, the ORR was 21%. Two-third of the patients with penta-refractory myeloma received twice weekly selinexor continuously among the 30 patients in penta-refractory group, the ORR was 20%. Clinical benefit rate received which in this study was ORR plus minor responses were 32% of course all patient, 29% for the quad-refractory patient and 37% for the penta-refractory patient. The medium adverse level was 9.3 month for all patients indicating that this population has very limited effective treatment options. Importantly, dose without a partial response of better had a survival of 5.7 months. While the patient who responded have a medium survival of more than 11 months, moreover as of data cut-off date medium survival for the responder has not been reached. This data suggest that patient responding to selinexor have a survival of approximately twice as long as non-responders. Medium duration of six months was approximately five months and responses tended to cure in the first two cycles. Progression free-survival in this heavily pretreated population was 2.1 months driven by early progressive disease. Grade 3 or higher cytopenias were the most common side effects and were generally not associated with clinical sequellae. There were low rates of Grade 3 or higher non-hematological toxicity with no new safety signals identified. In particular, there was only a single reported case of sepsis. These results are particularly intriguing because all selinexor is showing response rates comparable to dose achieved in the quad-refractory setting was intravenous anti-CD38 monoclonal antibody Darzalex or isatuximab. In addition, patient who responded to selinexor experienced longer survival suggesting that they are limited available of rescue therapy for patients who do not respond to selinexor. To our knowledge, selinexor is the first agent to show durable activity in the very difficult-to-treat patient with penta-refractory myeloma. Therefore based on these data we have expanded the STORM study to include approximately 120 additional patients with penta-refractory myeloma which we believe represent a significant unmet medical need. We expect to report top line data from the expanded cohort in early 2018 and assuming a positive outcome who intend to use the data from the expanded STORM to support an accelerated approval for selinexor in patient with myeloma. In addition to STORM we are also scheduled to present updated clinical data from the ongoing Phase 1b dose escalation portion of the STOMP study at ASH. STOMP principle investigator Dr. Nizar Bahlis of Southern Alberta Cancer Research Institute was given oral presentation discussing the high level of durable activity of observed selinexor in combination with bortezomib. Including the patient with diseases already refractory to proteasome inhibitors. In addition, Dr. Christine Chen, of Princess Margaret Hospital will present a poster of the impressive activity of selinexor in combination with pomalidomide or Pomalyst. With myeloma that is refractory to one or more proteasome inhibitors and oral lenalidomide. Publish preclinical result as well as results we presented at the ASH have shown the combination of proteasome inhibition with selinexor are highly synergistic. While various mechanism are involved super induction of high level of tumor suppressive proteins mark inhibition of Nf-kappaB, and induction of both autophagy and apoptosis has been demonstrated. Based on these data combination of selinexor with as of Velcade or Kyprolis are anticipated to be highly active even I guess against proteasome inhibitor resistant myeloma. Patient enrolled in the Velcade combination STOMP designated SVd received a medium of four prior treatments. Most have been previously received a proteasome inhibitor. Of the 22 patient in this SVd cohort 17 patients responded for an ORR 77% all ten patients with disease that was not refractory to a proteasome inhibitor are responded for an ORR of 100%. Patient tended to remain on studies to a multiple cycle with most continuing on treatment as of the data captured. Updated durability and PFS data will be presented at ASH we are very encouraged by these response rates because the expected ORR for the combination of Bortezomib and dexamethasone in patient with previously treated myeloma that is not refractory to a proteasome inhibitor is approximately 40% to 50% and ORR for those with refractory disease would be less than 10% based on these response rate selinexor appears to have one of the most potent synergistic effect with Bortezomib are better to-date. The most commonly reported adverse events were fatigue, anorexia, nausea and diarrhea, and thrombocytopenia. There was one reported case of grade 1 peripheral neuropathy and cumulative toxicity were uncommon. Based on mark efficacy until our ability we have identified a combination dose to be used in future studies. And you hung with selinexor once weekly 1.3 mg/m2 of bortezomib, sub-cu also once weekly for 4 out of 5 weeks and 40 mg of dexamethasone weekly. The ORR in the six patient who received this recommended Phase 2 dose of selinexor with bortezomib and dexamethasone was 100%. Based on this result we plant to initiate a pivotal randomized Phase 3 study known as the BOSTON study in early 2017. the BOSTON study will evaluate SVd compared to bortezomib and low-dose dexamethasone in patients with myeloma who have had one to three prior lines of therapy. These patients are more similar to the group of patient in STOMP whose disease was not refractory to a proteasome inhibitor and where the current ORR is 100%. To our knowledge this is the only Phase 3 study to-date to utilize once weekly bortezomib dosing in the experimental arm. Along with the weekly oral selinexor-dexamethasone. We expect that the study will enroll approximately 360 patient and a approval will complete in mid-2018. We are currently finalizing the protocol which includes feedback from the FDA and we look forward to initiating the trial early next year. In addition to STORM and STOMP, Dr. Andrzej Jakubowiak of the University of Chicago will provide updates from the Phase 1 study of sponsor by the multiple myeloma research consortium evaluating the combination of selinexor with proteasome inhibitor Kyprolis also known as Carfilzomib and dexamethasone in patient with relapsed/refractory myeloma. The results of this proteasome inhibitor combination of similar to dose observed with the SVd regimen with an overall response rates of 63% and most of the patient in this study have Carfilzomib refractory disease consistent with the synergistic mechanism of action of selinexor and proteasome inhibition. On the AML front, sale principle investigator Dr. Walter Fiedler of the University Medical Center Hamburg will given all presentation at ASH which highlights update clinical data from the Phase 2 sales study were in all enrollment is now complete the data demonstrate the selinexor and combination with Ara-C and idarubicin achieved compelling response rates leading to transplantation or donor lymphocytes infusion in patient with relapsed/refractory AML whose disease is already relapsed after was refractory to initial intensive chemotherapy. One additional AML presentation at ASH that I’d like to highlight is an oral overview of data from clinical trial evaluating the combination of selinexor is high-dose cytarabine and mitoxantrone in patients with AML. Here Amy Wang of the University of Chicago despite early stage clinical data demonstrating the feasibility and tolerability of selinexor in combination with chemotherapies in patients with AML, including in elderly patient is very encouraging with response rates. Together we believe the data from this study along with the SAIL study discussed above supports the thesis that these selinexor combinations could be an effective AML treatment options and serve as a bridge to stem cell transportation even in patients whose diseases refractory to standard chemotherapy regimen. One final point regarding ASH, Dr. Frank Cornell of the Vanderbilt Ingram Cancer Center will be presenting a poster highlighting clinical data from the Phase 1/2 study evaluating second-generation SINE compound KPT-8602 in heavily pretreated patients with relapsed or refractory myeloma. This data are important because they are the first clinical results for an oral KPT-8602 and so that it is well tolerated and is exhibiting and encouraging and durable science of efficacy. Finally on the solid tumor front in October at ESMO 2016 we were pleased to report updated clinical data from the Phase 2 SINE data evaluating selinexor in patients with gynecological malignancies. In this study single agent selinexor demonstrated robust clinical benefit in a favorable tolerability. In patient with heavily pretreated gynecological console. Including a 49 disease control rate in ovarian cancer and 45% in endometrial cancer. Selinexor associated adverse events we are found to be manageable with supportive care and dose modification has demonstrated by the number of patient who have remained on study after achieving disease control with some continuing treatment for longer than 12 months. With that, I will turn the call over to Justin to discuss our financials.
Justin Renz: Thank you, Sharon. Since we issued a press release earlier this afternoon outlining our third quarter 2016 financial results. I’ll just review the highlights then speak to our balance cash in our financial guidance. For the quarter ended September 30, 2016 Karyopharm reported a net loss of $25.4 million, or $0.69 per share compared to a loss of $30.4 million, or $0.85 per share for the third quarter of 2015. Net loss includes stock-based compensation expense of $5.6 million and $3.5 million for the quarter ended September 30, 2016 and 2015 respectively. Research and development expense was $19.9 million for the quarter ended September 30, 2016 compared to $25.9 million for the quarter ended September 30, 2015. This decrease from prior year is due to decreased preclinical and manufacturing costs related to selinexor as well as the timing of start-up and patient enrollment cost related to our clinical trial pipeline. General and administrative expense was $5.9 million for the quarter ended September 30, 2016 compared to $4.8 million for the quarter ended September 30, 2015, primarily due to non-cash stock compensation expense. Cash, cash equivalents and investments as of September 30, 2016 including restricted cash totaled $176.9 million compared to $166.2 million as of June 30, 2016. This increased cash balance includes net proceeds from the sales of common stock to the company’s At-The-Market financing facility through September 30, 2016 of approximately $31.5 million. Excluding our ATM proceeds, Karyopharm's cash burn from operations was $20.4 million in the third quarter. Subsequent to the close of the quarter, in October, we sold additional shares of common stock for net proceeds of approximately $15.4 million. In total, Karyopharm sold approximately 5.2 million shares of common stock for net proceeds of approximately $46.9 million in September and October combined. As of October 31, 2016, the Company has approximately 41.3 million shares outstanding and approximately 47.2 million fully diluted shares outstanding, which is inclusive of all outstanding stock options and restricted stock units. We expect to end 2016 with at least $117 million in cash, cash equivalents and investments. Based on our current operating plans, we expect our existing cash and cash equivalents will fund our research and development programs and operations through the end of 2018 including through the data readout for the expanded STORM cohort, completion of enrollment for the BOSTON study and advancement of the SOPRA, SADAL and SEAL clinical studies to their next data inflection points. I will now turn the call back over to Michael for concluding remark. Michael?
Michael Kauffman: Thank you, Justin. I just like to take a moment to recap the upcoming milestones that we’re expecting later this year and early next year. First, we will focus on executing the STORM trial expansion, which will add 120 additional patients with penta-refractory myeloma. We expect to report top-line data from this expanded cohort in early 2018 and assuming a positive outcome, we intend to use these data to request accelerated approval for selinexor in multiple myeloma. Second, based on feedback from the FDA, the trial design for the plan BOSTON study evaluating selinexor in combination with bortezomib and dexamethasone in previously treated myeloma patients is being finalized and we remain on-track to commence this pivotal study in early 2017. And third, at ASH 2016, we will present 21 clinical and pre-clinical abstracts including updated clinical data from the ongoing Phase 2b STORM study and the Phase 1b STORM studies in heavily pretreated patients with multiple myeloma. In closing, I just like to highlight that we continue to have a strong balance sheet, which provides us with a flexibility to pursue our clinical and corporate objectives. Thank you for listening today and we look forward to keeping you updated on our progress. With that I'd like to turn the call over now to the operator for questions. Operator?
Operator: [Operator Instructions] And our first question from the line of Brian Abrahams with Jefferies. Your line is now open.
Brian Abrahams: Hey, guys. Thanks for taking my questions, a couple of questions on STOMP. As you’ve seen the data evolved here, it looks like obviously the response rates are more than you would expect with bortezomib, far more than you expect in this population for bortezomib alone. You have seen many patients respond, few patients not respond. Just wondering as you’ve looked at this data, are there any characteristics you're seeing that might predict selinexor potentiation or bortezomib activity, risk profile time since last treatment, anything you can point to that would help to predict response?
Michael Kauffman: Yes, it’s a great question. I'll start and I will turn it over to Sharon in a minute. I think the important point is that in the patients whose disease was already refractory to a proteasome-inhibitor where you expect the response to Velcade dex to be less than 10%, you're seeing about a 58% response here. And by the way you're seeing a 63% response in a very similar group of patients in the Kyprolis dataset where almost all of those patients were already refractory to Kyprolis itself. So it looks pretty clear that more than half of the patients even with proteasome-inhibitor refractory myeloma can respond to the selinexor combination and we strongly believe this is true synergy rather than simply an effect of selinexor, which as you know gives you about a 20 plus percent response rate in these heavily pretreated patients. Thus far, unfortunately, we don't have any particular markers for response. But I think it's important to remember that when response rates start to go north of 50% really especially given that only one of the patients actually progressed in the STOMP dataset. That's a clinical benefit for many patients. And it's probably – it would be a very high hurdle to come up with a marker that that specifically targets the relatively few patients, who don't derive a real clinical benefit here. Sharon, do you want to add anything?
Sharon Shacham: Yes, I just want to mention that we are looking and we see that the activity is very similar and I think that’s true for both STORM and STOMP in high risk patients as well as the others, so 17 deletion with activity in dose and as well as other high risk feature. And our biomarker work is mostly focused on identifying those who will receive CR compared with the PR.
Brian Abrahams: Got it, that's helpful. And then on a safety side, it looked like both the homological and constitutional safety side effects; we’re perhaps a little bit lower in the combo STOMP studies than in STORM. Is that representative of just a less refractory population do you think? Or are there mechanistic reasons why a combination in addition of potentiating efficacy might actually mitigate some of the side effects and toxicities of selinexor?
Michael Kauffman: Yeah, I’m going to turn that to Sharon directly.
Sharon Shacham: So the severe side effect profile we saw was in this combination was twofold both the combination of selinexor with bortezomib as well in the other study of selinexor with carfilzomib. And some of it you will believe this mechanistically and we described some of the pre-clinical effects in abstracted ASH and in the papers. And some we believe – but also take in mind that most of the patients in at least in the selinexor bortezomib study, many of them received selinexor once weekly and we definitely see and there is no need to give twice weekly as we see based on the recommended phase of dose and once weekly selinexor is very good tolerability profile. On the carfilzomib study, we do give selinexor twice weekly and we still see very good tolerability profile and that might be due to the synergistic activity such as the inhibition of Nf-kappaB relates for this specific combination.
Brian Abrahams: Got it and just one last question, I will hop back in the queue. On 8602, obviously very early data in the ASH abstracts. It does look like the heme, Grade 3 hemotoxin constitutional symptoms, maybe a little bit more or less than you might expect versus historical data for selinexor. Is it, I guess, too early to conclude that 8602 may have a better tolerability profile that you’re seeing? This tolerability difference carries through consistently? Is that trial continues? And do you have any data yet from the PD markers that you're might be looking at suggesting relative XPO1 inhibition versus selinexor? Thanks.
Michael Kauffman: Yes, thanks. I’ll turn to Sharon in a second. But please do keep in mind that we've treated over 1,800 patients with selinexor alone or in combination. And we do have very early and prevent potentially interesting data with 8602. And Sharon can describe the mechanism of what we think may be going on, but were a very few fewer numbers of patients. Sharon?
Sharon Shacham: Yes, so I just want to remain, that is an ongoing Phase 1 study, and dose-escalation is not complete yet. And we are definitely still behind the dose that we give of selinexor. The highest dose we dose patients with selinexor is 120 mg and with 8602 we are not there yet. Keeping this, we are very encouraged by the good tolerability profile of both constitutional side effects and cytopenias. And this is probably due to a reduced brain penetration of 8602.
Brian Abrahams: Very helpful color. Thanks, guys.
Operator: And our next question comes from the line of Whitney Ijem with JPMorgan. Your line is now open.
Whitney Ijem: Hi, there. Just a question on STORM. So the ASH abstract indicated that the IL-16, IL-8, IGF-1 pathways were enriched in responders. So, I’m just wondering if there is any plans to maybe enrich the additional 120 patients you’re enrolling by those or stratify those patients or are kind of what the significance of that is.
Michael Kauffman: Yes, I’m going to turn this over to Sharon.
Sharon Shacham: So some of the bio molecular work will be described at the presentation of the STORM study. We’re not using these new findings to define the inclusion/exclusion criteria, but we’re definitely having exploratory endpoints to follow these biomarkers.
Whitney Ijem: Got it.
Sharon Shacham: And then again just you go ahead.
Michael Kauffman: Sorry, we can just add to that. We are looking at some also some clinical markers for – looking for the patients who stay on study for a prolonged period of time and therefore are more likely to respond and we'll hope to have some update at ASH on that.
Whitney Ijem: Got it. And just may be another wait for ASH question, but just curious if you can say anything as to the breakout of AEs or efficacy of response rate versus in the 8 doses per cycle patients versus the 6 doses per cycle patients.
Michael Kauffman: Sharon.
Sharon Shacham: So I think the best to answer this is to say that in the expansion cost of STORM, we are going to use 8 doses per cycle schedule. So it’s definitely schedule which is manageable to our ability. But we will outline the differences in the ASH presentation.
Whitney Ijem: Great, thanks for taking the questions.
Operator: And our next question comes from the line of Michael Schmidt with Leerink Partners. Your line is now open.
Michael Schmidt: Hey, good evening. Thanks for taking my questions. And I certainly appreciate all the updates on the upcoming ASH conference and the efforts in multiple myeloma. But I wanted to ask whether there are any updates on your trial in DLBCL or whether that's still on track for data early next year, and whether there is any other work going on in combinations in DLBCL. Thanks.
Michael Kauffman: Yes. Let me give you an update on the timing and we’ll talk about some of the other interesting studies we're doing in DLBCL. Yes, we will have early data, I’m sorry we will data in early 2017 on DLBCL. This is to remind people the SADAL study which is 100 milligrams twice weekly of selinexor versus 60 milligrams twice weekly of selinexor. It's a fully single agent study and it's in patients with relapsed refractory DLBCL, whose disease has been recurrent after chemotherapy and/or transplantation. And who are not eligible for chemo or transplantation. And this is a single agent study as I mentioned, a study that FDA has discussed with us and could potentially serve for an accelerated approval. So I have updated data on that in the early part of 2017. And then as a follow-on to that where we've had activity Sharon can describe some of the ongoing combination studies we’re doing.
Sharon Shacham: So, the three ongoing ISD currently in non-Hodgkin's lymphoma and several still in the queue. The ongoing one includes the combination of selinexor plus RICE in second line. This is study that is begin led by Peter Martin at Cornell. There is an ongoing study of selinexor plus ibrutinib from the Ohio State University that includes both patients with CLL and patients with non-Hodgkin's lymphoma. It’s a Phase I, II study. And there is a study looking at platinum based regimen that such as DHAP and GDP with selinexor. And this is done by the French lymphoma Group with the two different cohorts. And several other studies are still in design phase including first and second line studies of combination study selinexor and first and second line studies in DLBCL.
Michael Schmidt: Thanks. And maybe a follow up, Michael. And I think in terms of sort of hurdle – in terms of approval hurdle for the DLBCL SADAL study, and I think you've in the past talked about a 20% to 30% response rate at a minimum. I was wondering if that is still sort of the minimum goal for the study and what – based on your interaction with the FDA, what would be good data in terms of durability or PFS in those types of patients. Thanks.
Michael Kauffman: Right, a couple of points. So FDA never and they continue to never – will never give at least so far any guidance on specific numbers. They always say, it’s a review issue, which translated means it’s a risk benefit issue. They acknowledge that in this particular population of DLBCL patients, there really isn’t – there is nothing approved. And there isn’t really a standard of care for these patients as well, which is very important. In particular, patients who have the GCB or germinal center B subtype of diffuse large B-cell, there are really not any known active or very active drugs around. And some of you are aware in the ABC subtype, ibrutinib and lenalidomide or REVLIMID do have activity with response rates in the 30% to 40% range and some durability with several months, but in GCD there isn't really much active so far. We've shown activity in the past in our Phase 1 study of about 30% overall and pretty similar if not slightly higher in GCD compared with the ABC subtype. So we're pretty comfortable that we have an active drug in – pardon me, DLBCL. And in terms of numbers, we believe that again responses in the 20% or higher range, both of these are bona fide responses by CAT scan or PET scans, as is standard now based on what we've got our criteria for response in DLBCL. We think that's an important range and we also think that durability of four months or longer given this is a single agent which is oral. We think would put us in the game, but again I emphasize this is not an FDA number, these are just our KOLs and our own research.
Michael Schmidt: Great. Thanks for the added color.
Operator: And our next question comes from the line of Chris Raymond with Raymond James. Your line is now open.
Laura Chico: Hey, good afternoon. This is Laura Chico in for Chris. Just a quick follow-up I guess on a separate area as well. Just curious, I apologize if I missed this. Do you have any updates with regards to SOPRA and future timing there?
Michael Kauffman: We don't really have an update right now. What we can say is that the trial is accruing very nicely and we will update on the completion of the 170 patients enrolling. The interim analysis is purely an event based analysis. And therefore we don't track that exactly, we won't know exactly when those events come in. So we can't give any more color. If it doesn't happen by the end of the year we expect it will happen in the early part of next year, but this is all based on the survival of the patients and that's pretty much all we can say right now except that we are accruing nicely and will have an updated accrual forecast in the near future.
Laura Chico: Would the accrual forecast – I guess kind of shed light on potentially when the final OS analysis might come then as well?
Michael Kauffman: It looks like the final OS will still be mid-year, sometime in the mid-time next year. But we are on track for that. That was originally planned by the end of this year and we are on track for that that is full accrual.
Laura Chico: So the full accrual by year end?
Michael Kauffman: Yes.
Laura Chico: Okay. Thank you.
Operator: And our next question comes from line of Mike King with JMP Securities. Your line is now open.
Mike King: Hey, guys, can you hear me?
Michael Kauffman: Very well.
Mike King: All right. Great. Thanks for taking the question. A couple of questioners I think touched upon the topic that I wanted to get into which was the biomarkers. I think Sharon’s formal comments about different durability of response based on whether patients respond or not, mix it; incumbent to find a biomarker. I don't know if you agree or disagree with that statement, but it just seems like given at least when – in the setting that the drug will be approved and the large number of prior therapies that patients will receive, it just seems like it would be – facilitate your commercial uptake if you had something resembling a biomarker.
Michael Kauffman: Hey Micheal, thanks and that is a very fair point and please don't mistake our lack of finding a biomarker with a lack of desire to do so. We've spent now over 15 years trying to find a biomarker for – proteasome inhibitors and todate I don't think we have found one. And I got involved early on with – and tried to do that and I suspect although we continue to try and we have lots more technologies now available that the complexity of XPO1 the regulation and the added complexity of these patients now that we are getting will make finding a bio marker difficult. That said what sort of evolved as you are well aware are a couple of points one is that selinexor although we have liked to pick the responders clearly it takes to get a response of selinexor occurs typically in the first one or two cycles, which push patients at a very low risk of exposure, if the drug is not going to be active. You usually know it very quickly and given our side-effect profile there are sell them major toxicity that a patient would experience in that – especially in that period, before we knew whether the drug was working. I think more importantly though in the way all of these drugs get used, all of the big drugs that were approved single agent and then subsequently went on to combination approvals is that when you have the single agents they typically have response rates in the 20% to 30% range, but you start to combine them as we mentioned then you get over 50% and 60%. And then the biomarker actually becomes much more difficult because the predictivity of the marker and the accuracy of it is tougher when you have such high response rate. So I think we agree with you, we are trying we continue to – with a number of collaborators working on this. But what we think is really the future for this drug is to combine with proteasome inhibitors IMiDs will be doing some work with Darzalex as well and we have ongoing studies that are nearly complete with Doxil and so on. That the selinexor could really be an oral backbone therapy in combination with essentially anything in myeloma and will derive 50% up to 100% response rates.
Mike King: Yes, it's a fair point. Remind me, Michael, wasn't there – when Velcade launched in the relapsed refractory setting, wasn't there sort of an algorithm that if patients didn't respond by – I forget exactly what the number of cycles was, but if patients didn't respond by a certain number of cycles, docs would just continue therapy, or am I misremembering that?
Michael Kauffman: I don’t think we quite have that, we certainly had issues for neuropathy and unfortunately and we gave twice weekly therapy for a limited period and then move to once weekly but back then especially with a little – very, very limited options people tended to just switch them over to then lenalidomide or even early on Revlimid after 2006 or due to combination studies, which is where everyone is moved to.
Mike King: Okay. If I could just ask a quick question on STORM, I just wonder if you're – if you could share your thoughts about the patient characteristics as you continue to enroll the additional 120 patients and whether those would be more like what you've been enrolling. Do you think they might be more beat up? Any thoughts in that regard?
Michael Kauffman: Yes, let me turn that over to Sharon, who’s very close to this.
Sharon Shacham: So, in general the population is similar, but the population of penta-refractory patient that we have the 30 penta-refractory patients we had, we did some analysis I think Michael mentioned about clinical parameters that correlates with very short time on study or essentially with the kinetics of the disease its study entry and these enable us to a little bit tweak the inclusion exclusion criteria and hopefully will result with longer time on study and a bit improved response rate and we will present those finding at the ASH presentation.
Mike King: At ASH, okay. And let me congratulate you for an astounding number of abstracts accepted for the ASH conference. I know you guys work really hard to get your data submitted, so hats off to you on that. Thanks for taking my questions.
Sharon Shacham: Thank you, Michael.
Operator: [Operator Instructions] And our next question comes from the line of Ying Huang with Bank of America Merrill Lynch. Your line is now open.
Jenny Leeds: Hi. This is Jenny Leeds on for Ying. Thanks for taking my question. I just had a quick question about whether or not the response to selinexor changes depending on what was the last therapy that the patient was refractory to. As we see Darzalex kind of change in the treatment paradigm and move farther up, how could that change your responders? And then also for the development strategy of KPT-8602, as many people have said, it looks like the safety profile might be a little bit better. How are you kind of thinking about that as you develop that drug alongside selinexor? And could we see even more patients and more efficacy data at ASH?
Michael Kauffman: Yes, I’ll turn both of those questions over to Sharon.
Sharon Shacham: So regarding the second question, we mentioned the ongoing Phase I study of 8602 and this study was focused on myeloma in the future as we are completing to characterize the side-effects so far and the efficacy of 8602 in myeloma. We might look at other indication identified on the development path of 8602 and selinexor. And can you remind me quickly about your first question.
Jenny Leeds: Just about, as the treatment paradigm for multiple myeloma Changes and Darzalex moves kind of up the paradigm.
Sharon Shacham: Very early in the preclinical work on selinexor and the other XPO1 inhibitors we learn that the inhibition effects for one day activity of this compounds is essentially agnostic to biotherapies and we’ve seen this in the Phase I and we are seeing it in the STORM study that the activity of all the response to selinexor does not depend on the last line, which means that not necessarily patients that received tumor multiple example in the last line, we’ll respond to selinexor, we’ll not respond to selinexor or any other therapy.
Jenny Leeds: Great, thank you.
Operator: And our next question comes from the line of Lars Brichta with Canaccord. Your line is now open.
Arlinda Lee: Hi, guys. It's actually Arlinda. Would you guys mind providing an update on the DLBCL trial, and if we're still expecting to see some kind of an update early next year? Thanks.
Michael Kauffman: We’re growing to that trial there will be an update early next year and we’re pleased with the results to date, that’s how we’re able to say at this point.
Arlinda Lee: Okay, great. Thanks. And then maybe just a follow up on the myeloma – sorry, we're just hopping between calls. I'm sorry if I missed this. But on the 8602 data, the next generation, I'm kind of curious. You guys have alluded to the fact that this is potentially more tolerable and therefore might be able to get a better therapeutic window. What kind of data should we expect at ASH for that? Thanks.
Michael Kauffman: Yes. To some extent Sharon answer, but I’ll ask her to just answer one more time.
Sharon Shacham: So Arlinda this is a – we are in the midst of the Phase 1 study we’ll have more patient than what we had in the abstract keep in mind this is a – plus we designed so the number of patients goes gradually in a study like that. And I think as you will – this will be presented in the poster we are encouraged by the tolerability profile of this drug we are looking forward to continue to escalate it to identify completely identify the toxicities and the entity and then we will evaluate the development of 8602 compared to that of selinexor in which we have studied in many, many indication in many patients and know exactly where to go and how to treat the side effect so far.
Arlinda Lee: Okay, great. Thank you.
Operator: And I’m showing no further questions at this time. I would now like to turn the call back over to Dr. Kauffman for closing remarks.
Michael Kauffman: Thank you again for your interest in Karyopharm and for participating on our call today. We look forward to see many of you at upcoming medical and investors conferences and hope you can join us for our webcast multiple myeloma panel discussion at ASH next month. Have a great day everybody.
Operator: Ladies and gentlemen, thank you for participating in today’s conference. This does conclude the program. You may all disconnect. Everyone have a great day.